Operator: Good morning. My name is Ryan, I will be your conference operator today. At this time, I would like to welcome everyone to the Occidental Petroleum Corp Fourth Quarter Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. It is now my pleasure to turn the floor over to your host, Chris Stavros. Sir, you may begin your conference.
Chris Stavros: Thank you and good morning, everyone. I would like to welcome you to Occidental's fourth quarter 2007 earnings conference call. Joining us on the call from Los Angeles are Dr. Ray Irani, OXY's Chairman and CEO, Steve Chazen, our President and CFO, Casey Olson, President of OXY's Oil and Gas Business in the Eastern Hemisphere, and John Morgan, President of OXY Oil and Gas in the Western Hemisphere. In a moment, I will turn the call over to Steve Chazen, who will review the details of our fourth quarter and full year 2007 financial results, to be followed by a question-and-answer session. Conference call presentation slides which refer to Steve's remarks, can be downloaded off of our website at www.oxy.com. I'll now turn the call over to Steve. Steve, please go ahead.
Steve Chazen: Thank you, Chris. Net income for the quarter was $1.452 billion, or $1.74 per diluted share, compared to $930 million, or $1.09 per diluted share in the fourth quarter of last year. 2007 fourth quarter net income includes $16 million after-tax severance charges, and $4 million of after-tax income from discontinued ops. Quarter results were record $1.464 billion or $1.76 per diluted share in the fourth quarter of 2007, compared to $784 million or $0.92 per diluted share in the fourth quarter of 2006. Here is a segment breakdown for the fourth quarter. Oil and gas fourth quarter 2007 segment earnings were $2.6 billion, compared to $1.4 billion for the fourth quarter of last year. The following count of the increase in oil and gas earnings between these quarters. Higher worldwide oil and gas price realizations resulted in an increase of $1.3 billion of earnings over the comparable period last year. Occidental's average realized crude price in the 2007 fourth quarter was $27.75 higher than the comparable period last year. OXY's domestic average realized gas prices for the quarter was $6.77, compared to $5.63 in the fourth quarter of last year. Worldwide oil and gas production from continuing operations for the quarter, averaged 590,000 barrels equivalent per day, an increase of 5.2% compared to the 561,000 BOE in production to fourth quarter last year. The bulk of the production improvement result the Dolphin project start-up, which contributed 36,000 BOE per day. Our guidance for the fourth quarter production was in the range of 600,000 to 615,000 BOE per day. We are under this range to the impact of product prices that reduced our volume from production sharing contracts by 8,000 BOE per day. Well below our Libya 4,000 BOE per day, and 5,000 BOE per day is lower in Argentina due to election related strikes in October and November. Dolphin contributed $62 million to after-tax income during the fourth quarter, which was slightly ahead of our guidance of $50 million to $60 million. Sales volumes were 36,000 BOE per day, inline with our guidance. Dolphin 2007 production exit rate was 43,000 BOE per day. Exploration expense is $101 million in the quarter. Oil and gas production costs for the 12 months of 2007 were $12.87 per barrel, compared with last year's cost of $11.70 a barrel. The increase is result of the higher field operating and maintenance costs. Chemical segment earnings for the fourth quarter of 2007 were $94 million, which is lower than our third quarter guidance of $100 to $140 million. Decline in earnings from guidance, was due to lower PVC margins due to higher feedstock cost and weaker industry demand. Chemicals earned $157 million in last year's fourth quarter primary factor to the counter for quarter-to-quarter differences was lower PVC margins. The worldwide effective tax rate excluding the impact of asset sales and other items was 42% in the fourth quarter of 2007, four points lower than our guidance of 46% due primarily significant higher oil and gas prices. The increased oil prices result in a higher portion of US income, which has a lower apparent tax-rate in our international operations. Now, let me turn to our performance for the 12 months. Net income was a record $5.4 billion or $6.44 per diluted share for the twelve months of 2007, compared to $4.2 billion or $4.87 per diluted share for the same period last year. Core results were also a record at $4.4 billion or $5.25 per diluted share for the 12 months of 2007, compared to $4.1 billion or $4.78 per diluted share in the same period last year. Worldwide oil and gas productions for the 12 months averaged 570,000 barrels of oil equivalent day, an increase of 4.6% compared to 545,000 BOE production 12 months of last year. Capital spending was $987 million a quarter and above $3.5 billion for the 12 months. We expect total capital spending for this year 2008 to be between $3.8 billion and $3.9 billion. We expect to increase 2008 capital spending for Columbia LCI project Argentina and Vintage California. Cash flow from operations for 12 months was approximately $6.8 billion. We received $1.6 billion in proceeds from the sale of assets. We used $3.5 billion of the company's cash flow to fund capital expenditures, $1.4 billion for acquisitions, $1.2 billion to retired debt and $765 million to pay dividends. We spend $1.13 billion to repurchase 20.6 million common shares at an average price of $54.75 per share. These net cash flows increased to $1.6 billion cash balance at the last year by $400 million to $2 billion at December 31. That was $1.8 billion at the end December reduction of $1.1 billion for the debt balance of $2.9 billion at the end of last year. The weighted average basic shares outstanding for 12 months were $834.9 million and the weighted average diluted shares outstanding were $839.1 million. At December 31, there were 827.2 million basic shares outstanding and diluted share amount was approximately 831.3 million. Our debt to capitalization ratio was 7%, down from 13% last year. Our return on equity was 26%, with return on capital employed of 24%. As we look ahead to the current quarter, we expect oil and gas production to be in the range of 600,000 to 615,000 BOE per day during the first quarter, at last quarter's $90 oil price. Dolphin is expected to become fully operational in February, and run at 78% of capacity this quarter, with the production of 53,000 BOE per day. Dolphin's after tax earnings are expected to be between $90 million and $100 million in the first quarter based on a $90 oil price. At about $80 oil, we expect production for the full year to increase to 620,000 to 630,000 BOE per day. This is slightly above the outlook we gave you two years ago for 2008, when you adjust for a $30 increase in oil prices from that time. The increase from last year's numbers due to full year operations of Dolphin, increased production from Mukhaizna in Oman, and increased production in Argentina, where the exit rate was around 40,000 a day in Colombia, and the impact of acquisitions. These were slightly offset by the new contract in Libya and of course higher oil prices. Occidental received a share of production, from a production sharing contract to cover its cost additional share for profit. Occidental share of production from these contracts decreases in oil price is rise and increases when oil price is decline. Overall OXY's net economic bet from these contracts is much higher at higher oil prices. A $5 change in oil prices affects OXY's production by about 4,000 barrels a day. Including this change in production, a change in oil price of a $1 per barrel impacts quarterly earnings before income taxes, by about $38 million. A swing of $0.50 per million BTUs in domestic gas prices has a $24 million impact on quarterly earnings before income taxes. We expect exploration expense to be about $70 million, $90 million for seismic and drilling this quarter. We expect chemical earnings to be in the range of $100 million and $125 million probably closer to the higher end of that range, compared with $94 million in the fourth quarter. Improved volumes and prices in vinyls and higher caustic soda prices are the primary drivers of the improvement. This is less than last year's first quarter earnings of $137 million due to weakness in construction, which impacts industry demand. We expect DD&A expense to be $2.4 billion for oil and gas and $300 million for the rest of the company this year. Expect our combined worldwide tax rate for the first quarter to be 43%. The company has embarked on a cost reduction program, which will affect operating, G&A and capital cost. In 2007, we took restructuring charges totaled $25 million, we expect similar amount this year. We have also made improvements in our procurement operations functions, taking advantage of the shift in power between producers and vendors. Combined savings from this program are expected to be at least $200 million this year with annualize run rate of over $300 million. The primary focus of this problem is more on the maturity of the company as opposed to our areas of growth. Copies of the press release announcing our third quarter earnings in the investor relation supplemental schedules are available on our website, or through the SEC's EDGAR system. We are now ready to take your questions.
Operator: Thank you. (Operator Instructions) Our first question comes from Robert Kessler of Simmons & Company. Please go ahead.
Robert Kessler - Simmons & Company: Hi, good morning Steve.
Steve Chazen: Good morning.
Robert Kessler - Simmons & Company: As you look at the bidding grounds for projects in the Middle East here in Gulf States, it seems the recent entrance have shown a willingness to bid away much of the value on these deals. And then you'll look at share prices for equities, public equities so far this year, they've languished relative to the commodity. How does that change your view of the pecking order uses of cash, are you inclined to increase the buybacks?
Steve Chazen: No, we expect to end the year with about 6.3 million shares of authority from the board. We've used the majority of that so far this year and we expect the board to increase the authority by at least 20 million shares at the next meeting. We have no debt maturities currently for this year and very little for next year and for level with debt and current stock prices we would expect that we'd be aggressive buyers of the shares.
Robert Kessler - Simmons & Company: How do you think about the competitive landscape for these Middle Eastern projects, now with people like ConocoPhillips and next going to bid up the economics for bid away the economics?
Ray Irani: Well, as we have said repeatedly, we do have a large number of projects in our pipeline and we still borrow religiously at a discipline for our returns on investments. So to the extent that other people who want to chase projects for whatever reason, we are willing to give-up on projects unless they meet our discipline. We still feel that we have a number of projects it can meet our financial discipline. So that's the way it all goes.
Robert Kessler - Simmons & Company: I think that makes sense right, is a 20% internal rate of return are reasonable international bogie at this point?
Ray Irani: Well, I think when you get into this returns, bare in mind we may be assuming different prices for oil than other folks are, so that enters the picture. And so we have to look at a wide range of prices, because you are making investments that go over a 30 year period. And so you can just sit and say alright the price is all today is $90, so that's what you can assume and it would be foolish all to assume $40. So, you have to look at a whole range of prices looking to the future and look at cost of capital and alternatives that you may have. We do have alternatives. Not only in the share buyback, but other programs we're working on.
Robert Kessler - Simmons & Company: Thanks very much.
Operator: Thank you. Our next question comes from Michael LaMotte of JP Morgan. Please go ahead. Mr. LaMotte your line is live. Our next question comes from Doug Leggate of Citigroup. Please go ahead.
Doug Leggate - Citigroup: Hi, good morning, Ray and Steve. A couple of questions, I guess, what's the kickoff with the projectile work if I may, because obviously following the Shaw situation, there are a couple of others that have been talked about, namely in Bahrain and perhaps even more additional projects I guess in Libya, the UAE and Oman. Could you maybe just give us an update as to where we stand and what the likely and useful is positive or otherwise that we should expect?
Ray Irani: I remain optimistic, but again I can't give you a date on when something will happen. I think these projects are very solid and they can achieve the returns that we like to have, but you know in the end, if somebody wants to assume the price of oil is going to be $100 for the next 20 years, I'm not going to compete with that. So, I'm very optimistic for a number of reasons, a part of which is that we do have a number of these projects. Okay, but we have proven that we are not well good at estimate the timings. So, I don’t think, we want to go there.
Doug Leggate - Citigroup: Okay. Second one maybe it's a little bit easier than, you gave us some reserve numbers on the press release. Steve, could you give us an idea what the impact of PSE volume effects was, how much was this number depressed by PSE?
Steve Chazen: I don't remember how much the PSE impact was, I think it was, itself it was probably in the 50 million barrel area.
Doug Leggate - Citigroup: Okay. Do you have any F&D cost number, Steve?
Steve Chazen: Pardon me.
Doug Leggate - Citigroup: On F&D cost number?
Steve Chazen: Probably we do is divide.
Doug Leggate - Citigroup: Okay. The acquisitions are included in there, I guess?
Steve Chazen: Yeah. The SEC doesn't like to do the division for you so.
Doug Leggate - Citigroup: Alright.
Steve Chazen: So, we put the numbers together, so it's always straight forward.
Doug Leggate - Citigroup: And the final one very quickly, Libya that the new contract if that kicking on December 1st?
Ray Irani: Not yet.
Doug Leggate - Citigroup: So, when does it become effective?
Ray Irani: Well, it becomes effective when the people's parliament approved it, and we have no concern on this. I met with Gaddafi himself and the number of other leaderships in late November and we are just going to meet, this last schedule at Congress. So, whenever that approval takes place, it kicks in.
Steve Chazen: Just to clarify it, it's effective December 1st.
Ray Irani: Right.
Steve Chazen: And whenever they approve it will go into effect and then there will be a financial settlement for the difference.
Doug Leggate - Citigroup: Got it.
Steve Chazen: Just like any other acquisition, you would make a settlement for effective date.
Doug Leggate - Citigroup: That's all from me. Thanks guys.
Steve Chazen: Thank you.
Operator: Thank you. Our next question comes from Nikki Decker of Bear Stearns. Please go ahead.
Nikki Decker - Bear Stearns: Good morning, thank you. I was just following upon the reserve reports, did the Libya contracts affect reserve bookings for 2007?
Steve Chazen: No.
Nikki Decker - Bear Stearns: Okay.
Steve Chazen: Or let’s say there in the Libyan contracts is the remainder of the contract at that point, which is two years.
Nikki Decker - Bear Stearns: Okay.
Steve Chazen: So, you wouldn’t normally expect that if there had been a 30 year extension at the two, and then we would have a lot more reserves when we booked that.
Nikki Decker - Bear Stearns: I see. The report showed a pretty good bump up in reserves from improved recovery, you essentially replaced production with improve recovery. My question is, is this sustainable with the current asset base or might we see a shift towards additional acquisitions?
Steve Chazen: Certainly for this year improved recovery will be very large again for 2008. Mukhaizna is an improved recovery project and we are just really starting the booking there.
Nikki Decker - Bear Stearns: Okay.
Steve Chazen: So we are going to build a very sizable improved recovery number out of Mukhaizna alone. Historically we ran about 140 million barrels in improved recovery, and in rest of the operations we don't see how that's going to fall off. So, I am not going to predict this years’ number, but we've just began to book in Mukhaizna , so there is a lot more improved recovery. So you'll see that improved recovery number to be sizable for several more years.
Nikki Decker - Bear Stearns: So it sounds like there is a possibility that that number even ramps up?
Steve Chazen: You know, you never know about reserves but more likely than not, you are right.
Nikki Decker - Bear Stearns: Okay. Where was the improved recovery in gas?
Steve Chazen: In gas --
Nikki Decker - Bear Stearns: That number was a big ramp up from the prior year?
Steve Chazen: Yeah, it was probably in the Shales, and it was at Elk Hills.
Nikki Decker - Bear Stearns: Okay, that's it from me. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from Bernie Picchi of Wall Street Access. Please go ahead.
Bernie Picchi - Wall Street Access : Yes, good morning, just wanted to ask a question about the plains acquisition, and kind of got my attention with your involvement in the Piceance, and I wonder if this does represent kind of a strategic shift in your attitude toward resource plays and gas in the United States? Certainly the Permian didn't surprise, but the Piceance did.
Steve Chazen: We’ve been to the Piceance for a while. As you may know we had some legacy assets in land and fee. So we're producing about 40 million a day in the Piceance currently from our production, and we expect to boost that over the next few years to about a 100 million a day just from our own stuff. We thought the Piceance stuff was a reasonably priced acquisition, but considering the size of the enterprise, I wouldn’t view it as particularly strategic, maybe a tweaking, but we were there and we saw an opportunity to build more gas at reasonable prices. Gas acquisitions as you know have not been reasonably priced and this was a fairly priced, we thought.
Bernie Picchi - Wall Street Access: Steve, just a follow-up question; it looked as if in the fourth quarter that you had quite a lot of cash as the term. Has that been a realization for US natural gas prices versus the Henry Hub price versus the prior quarters? It looks like there was quite a nice jump. In other words you realized price in the fourth quarter. Is that something that is kind of a one-off or something that you would expect to see going forward?
Steve Chazen: We think that's probably the fourth quarter that is probably right. In other words, it will continue.
Bernie Picchi - Wall Street Access : And the reason why the sudden catch-up or the increase in the capture versus prior quarters?
Steve Chazen: In the Piceance you picked up as the differentials narrowed, in California there was a nice pick up in realized price, and in Hugoton and Permian. So we've made some structural changes so I think that probably is why, and our ability to deliver the gas.
Bernie Picchi - Wall Street Access: Thanks.
Steve Chazen: Thank you.
Operator:
Michael LaMotte - JP Morgan: Thanks good morning.
Steve Chazen: Good morning.
Michael LaMotte - JP Morgan: Steve, is there any movement on the projects in Abu Dhabi?
Steve Chazen: No.
Michael LaMotte - JP Morgan: Okay. Can you provide an update on the Mukhaizna, there has been some comments in some of the trade journals lately, about leaking wellheads and other problems. Can you give an update on what the target is for year-end and ultimate objectives there?
Steve Chazen: The target for year end on Mukhaizna is still a gross 50,000 barrels a day, which is what we estimated all along. We anticipated that through the first couple of years as the project ramped up the exact timing months. The months would be a bit fluid but we are right on track we believe to hit the 50,000 this year and are feeling confident that we can still move to the project to the 150 level as we have anticipated all along.
Michael LaMotte - JP Morgan: Okay and then lastly there's been a lot of talk in the industry about Iraq finally moving on concessions. What are your thoughts on potentially being involved in Iraq?
Steve Chazen: Well as you know the situation in Iraq is very fluid. The 10th oil law is not yet approved in Iraq. The Kurds are beating up on doors including ours to paying concession, etcetera. We are not talking to them. US policy is against talking to regional players in Iraq, and we follow US policy to the word. So, I think it is pre-mature. But whenever that opens up we are sitting ready looking at opportunities.
Michael LaMotte - JP Morgan: Any thoughts preference for North versus South?
Steve Chazen: We think there are number of opportunities and we’ve identified, this is premature. Let's bring some of these troops home first, let see some security. The President was in the Middle East and didn’t bother to go to Iraq. So that’s a message about security there. Condoleezza Rice went over to Iraq briefly and we think it’s a fluid situation. There is some improvement in some areas of the country as you can see, security in others, especially where production could be, at least there is a lot to be desired. Because the focus, as you have seen of our military, is to secure the areas with high population, and that is not always where oil or gas is present. So we care about our employees, we care about following US policy and we are not going to be mavericks in this particular area.
Michael LaMotte - JP Morgan: Great, thank you very much.
Operator: There are no further questions at this time. I would like to turn the floor back to Mr. Stavros for any closing comments.
Chris Stavros: Thank you very much for joining us today on the conference call. And if you have any further questions please feel free to call us in New York. Thank you very much.
Operator: Thank you. This concludes today’s Occidental Petroleum Corp Fourth Quarter Earnings Conference Call. You may now disconnect and have a great day.